Operator: Greetings, welcome to BJ’s Restaurants, Incorporated Fourth Quarter 2022 Earnings Release and Conference Call. At this time all participants are in a listen-only mode. A question and answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to Greg Levin, Chief Executive Officer and President. Thank you, you may begin.
Greg Levin: Thank you, operator. Good afternoon, everyone and welcome to BJ’s Restaurants fiscal 2022 fourth quarter investor conference call and webcast. I’m Greg Levin, BJ’s Chief Executive Officer and President and joining me on call today is Tom Houdek, our Chief Financial Officer, and we also have Greg Lynds, our Chief Development Officer on hand for Q&A. After the market closed today, we released our financial results for the fiscal 2022 fourth quarter and you can view the full text of our earnings release on our website at www.bjsrestaurants.com. Our agenda today will start with Rana Schirmer, our Director of SEC Reporting, providing our standard cautionary disclosure with respect to forward-looking statements. I will then provide an update on our business and current initiatives and then Tom Houdek will provide some commentary on the quarter and the current environment. After that, we will open it up to questions. So Rana, please go ahead.
Rana Schirmer: Thanks, Greg. Our comments on the conference call today will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors that may cause the actual results, performance or achievements of the company to be materially different from any future results, performance, or achievements expressed or implied by forward-looking statements. Investors are cautioned that forward-looking statements are not guarantees of future performance and that undue reliance should not be placed on such statements. Our forward-looking statements speak only as of today’s date, February 16, 2023. We undertake no obligation to publicly update or revise any forward-looking statements or to make any other forward-looking statements whether as a result new information, future events or otherwise unless required to do so by the securities laws. Investors are referred to the full discussion of risks and uncertainties associated with forward-looking statements contained in the company, filing with the Securities and Exchange Commission. Greg.
Greg Levin: Thanks, Rana. BJ’s fourth quarter results demonstrated continued growth across key metrics, as we beat the industry as measured by comparable sales and comparable guest traffic according to Black Box, and we made further progress improving our restaurant level cash flow margins. Our comparable restaurant sales increased 6.6% over the same quarter a year-ago, on a 14-week versus 14-week basis. While a slower start to December and late winter storms provided a slight headwind to the industry, BJ’s still delivered its highest weekly sales average ever, reaching more than 131,000 a week before Christmas. With our focus on staffing our restaurants to ensure we are delivering gold standard service and gracious hospitality in our high energy, lively restaurants, we were able to increase dining room sales, while maintaining off premise sales at twice the pre-COVID levels. Of note, our comparable sales performance has accelerated in fiscal 2023 to-date, driven by growth in the dining room guest traffic and an additional 3.7% of menu pricing, which is 190 basis points more than our pricing round that we took last February. If our year-to-date sales trends continue, first quarter comparable restaurant sales should be in the high-single-digits. Currently, we are carrying pricing in the mid 7% range compared to a year-ago. Like all consumer facing businesses, we are closely monitoring customer trends and the broader macro environment. To-date, we have not seen any meaningful change pointing to a slowdown in spending at BJ’s. For example, our check driving incidents for add-ons such as appetizers, drinks, and of course, our [indiscernible] remain above pre-COVID levels and we are not seeing negative mix shifts towards lower priced or discounted items. The one area that has moderated somewhat has been our alcohol incidents. We are still selling more alcohol per check-in our dining rooms than before the pandemic. But the amount of extra drink incidents has declined modestly. This trend began in mid-2022, so we believe it has to do more with a return to the more normal guest behavior than any macro impact on our consumer. During the fourth quarter, we made progress improving our restaurant level cash flow margins, despite the ongoing inflationary pressures. We all know growing sales leads to incremental profit and margin expansion. The sales growth we generated in the quarter coupled with some early success from our margin improvement initiatives and to a lesser extent the extra week in the fiscal year helped to propel our margins ahead of both the same quarter a year-ago as well as the third quarter of 2022. To that end, our focus for 2023, this current year is about expanding our restaurant level margins through our sales driving initiatives, our margin improvement project, and allocating capital to high returning investments. Our sales driving initiatives target capturing even more dining room traffic through a menu focused on craveable, familiar made Brewhouse fabulous offerings, high return on investment remodels that are proven to lift sales, as well as driving additional off premise sales through our own channels with our new e-commerce platform and through our third-party partners. In regards to our margin improvement initiative, and as we have discussed on our third quarter conference call, we are targeting at least 25 million of annual cost savings worth 200 basis points of margin improvement. We expect to see savings from sourcing changes where we can enhance and differentiate BJ’s high quality products through our kitchen technology competitive advantage. So, for example, which we touched on last quarter, the change to slow roasting our own wings alone will save us over $4 million annually and benefit our margins by 30 basis points. We continue to test the number of other impactful opportunities to optimize our business, including a simplified menu that is still broad, but reduces the menu item count complexity and SKUs, while improving execution and prep hours in the kitchen. We intend to roll out a menu with approximately 10% less menu items in July, and we will test removing even more items later this year. Additionally, we just started testing AI driven sales forecasting to provide an additional tool to our restaurant operators to forecast sales more accurately, which then improves labor scheduling efficiency as well as kitchen prep. I’m very confident that we will achieve our goal of identifying at least 25 million of annualized restaurant cost savings this year. We also continue to evaluate our menu pricing strategy and expect additional rounds of menu pricing later this year in order to manage ongoing inflationary pressures and manage our margins. With commodity and labor costs now each up approximately 30% since 2019, menu pricing will play a role in our expected margin growth this year. To-date, we have priced more conservatively than many peers during the recent period of rapid inflation, which has benefited our guest traffic trends and value scores. As a result, guests continue to see their tremendous price point value provided at BJ’s from our Lunch Specials, Daily Brewhouse Specials, and Happy Hour offerings, along with our more indulgent favorites still at great prices like our Slow-Roasted Prime Rib and Fresh Atlantic Salmon. Remodels will also play a key role in our sales building initiative for the next few years. The guest response measured by increased traffic, sales and profit has been excellent. Our remodel program includes adding seating capacity and updating our bar statement where applicable and other highly impactful elements inside and outside the restaurants. To-date, the return profile in these investments has been highly attractive, so we have made additional remodels and important part of our 2023 capital allocation strategy, which Tom will cover in more detail shortly. Based on our current and expected sales growth trends, our margin improvement progress to-date, and expected further margin opportunities and additional pricing, we expect run rate restaurant level cash flow margins in the low to mid-teens as we exit 2023, assuming a continued healthy macro and consumer environment. Finally, our new restaurant expansion strategy continues to provide strong results and growth. In the fourth quarter we opened the final three restaurants of the year for a total of six new restaurants open in 2022. We tend to open restaurants in markets with high sales and attractive restaurant cash flow potential. To illustrate in January, our class of 2022 restaurants had average weekly sales more than 20% higher than the rest of the BJ’s system. We are very pleased with the strong sales performance of our new restaurant openings, which reinforces our confidence in the attractive financial returns by allocating capital to new restaurants. We expect to open another five new restaurants in 2023, one of which is a relocation of our Chandler Arizona restaurant to a new prime location in the same trade area. Also, reflecting prudent portfolio management, we will close two older restaurants in the first half of this year. On the people front, last quarter I announced that we added BJ’s first standalone Chief People Officer, Amy Krallman, to our leadership team early in the fourth quarter. Also in Q4, we welcome Putnam Shin as our new Chief Growth and Innovation Officer to BJ’s. We are thrilled to have Amy and Putnam join the executive team. They are both already making significant impacts across the organization and I know they will be strong leaders as we drive the business on our road to two billion. So in summary, we are focused on the comprehensive side of initiatives aimed at significantly increasing our average weekly sales, growing our restaurant margins and continuing our national expansion with a controlled pace in top quality sites with a goal of growing BJ sales to two billion and beyond. [Technical difficulty] Alright. Thank you, operator. I believe we had some technical difficulty here. I’m just going to do my last paragraph, because I hear that is where we dropped off. And then we will turn it over to Tom Houdek, our Chief Financial Officer. So sorry about that everyone. As I was saying, in summary, we know the best way to grow margins and profit is to grow sales. Our recent sales trends have been encouraging and we remain committed to being sales drivers first and foremost. We intend to continue building sales into 2023 with demand for experiential dining remaining strong. And our goal is to grow our sales into two billion and beyond by delivering this meaningful earnings growth and shareholder return. In the meantime, we are incredibly increasingly confident that guest affinity for our brand and concept coupled with the trajectory of our business and our current growth and margin enhancing initiatives will enable us to achieve attractive near and midterm growth and margin objectives. Now let me turn it back over to Tom to find a more detailed update from the quarter and current trends. Tom.
Thomas Houdek: Thanks Greg, and good afternoon everyone. I will provide details of the quarter and some forward-looking views. Please remember this commentary is subject to the risks and uncertainties associated with forward-looking statements as discussed in our filings with the SEC. For the fourth quarter, we reported total sales of 344.2 million, an 18% increase from the prior year. Included in fourth quarter sales were 26.5 million from the extra week in our fiscal year and 3.2 million gift card breakage revenue related to a change in estimated redemptions of gift cards issued prior to 2022, which have yet to be redeemed, resulting from the COVID-19 pandemic. Excluding the extra week and gift card breakage adjustment, our sales increased approximately 8% versus Q4 2021. On a comparable restaurant basis, which is unaffected by the gift card breakage adjustment, sales increased by 6.6% compared to Q4 of 2021 on a 14-week to 14-week basis. The comparable sales improvement in conjunction with certain savings, we began to realize from our margin improvement initiative and to a lesser extent, the extra win in our fiscal year helped BJ’s improve margins in the fourth quarter. Our restaurant level cash flow margin was 12.9% in Q4. After removing the gift card breakage benefit discussed earlier, restaurant level cash flow margin was 12.1%. Our Q4 2021 restaurant level cash flow margin was 10.1% or 9.6% when removing the 1.6 million in employee retention tax credit benefit. When comparing margins, excluding the gift card breakage and ERTC benefits restaurant level cash flow margins improved by 250 basis points in the fourth quarter compared to the prior year. Adjusted EBITDA was 26.1 million and 7.6% of sales in our fourth quarter, which included the gift card breakage benefit, when again excluding the gift card breakage benefit from 2022 and the ERTC benefit from 2021, Q4 2022 EBITDA beat the prior year by 10.8 million with a margin that was 260 basis points higher. We reported net income of four million and diluted net income per share of $0.17 on a GAAP basis for the quarter. Our Q4 GAAP, net income and EPS benefited by approximately 2.4 million and $0.10 per share, respectively from the gift card breakage adjustment discussed earlier, when applying our 24.2% effective tax rate. From a weekly sales perspective, we average more than 112,000 per restaurant in the fourth quarter or approximately 7,000 higher than our Q4 of 2021. We maintained our off-premise weekly sales average in the low 20,000 while generating dine in sales of more than 92,000 in Q4. Moving to expenses, our cost of sales was 26.8% in the quarter. After removing the gift card breakage benefit to revenue described earlier, our Q4 cost of sales was 27.1%, which was 20 basis points favorable compared to Q3 of 2022 and 30 basis points favorable compared to Q4 of 2021. Food costs remain high through - so year over year inflation moderated to the low single-digits in the fourth quarter. The inflation figure would have been approximately two percentage points higher, if not for the first round of margin improvement changes we implemented across our food our food basket, including the new slow-roasted wings that Greg highlighted, which were fully rolled out across our system early in the fourth quarter. We did not take any additional pricing in the fourth quarter and our pricing carried was slightly less than 6% in both the quarter and the full-year compared to the year-ago levels. As Greg noted, we took 3.7% of menu pricing in January to combat ongoing inflationary pressures and to recapture additional margin. To-date, we have not, we have seen no guest pushback to our menu pricing rounds. We are finalizing plans for an additional pricing round early in the second quarter. Labor and benefits expenses were 36.8% of sales in the fourth quarter after removing the gift card breakage benefit described earlier, our Q4 labor and benefits expenses were 37.1% of sales in the quarter, which was 140 basis points favorable compared to the fourth quarter of the prior year after removing the ERTC benefit. We continued to improve our labor efficiency in the quarter, which is driven in part by improving labor retention in our restaurants, which was at the, at its best level over the past two years in Q4. Our overtime and training hours improved as well, which as a percentage of sales were 20 basis points better than Q4 of 2021 and within 20 basis points from pre-pandemic levels in Q4 of 2019. Occupancy and operating expenses were 23.5% of sales in the quarter after removing the gift card breakage benefit described earlier, our Q4 occupancy and operating expenses were 23.7% of sales in the quarter, which was 80 basis points favorable compared to the fourth quarter of the prior year as we leveraged higher sales. We continue to identify O&O savings opportunities as part of our margin improvement initiative with the first round of cost savings rolling out in the coming months, including new leftover packaging containers and changing the frequency of certain maintenance programs. G&A in the fourth quarter was 19.3 million, coming in lower than our prior estimates due to a true up for annual incentive bonuses, lower deferred compensation expense tied to fund performance in our deferred compensation plan and other savings against our original G&A budget. Turning to the balance sheet, we ended the quarter with debt of 60 million and net debt of about 31 million. We are very pleased with the strength of our balance sheet and will remain consistent in our approach of prioritizing growth driving investments by return profile, including building new restaurants, improving our existing restaurants and funding sales driving initiatives. We finished 2022 spending 78.6 million in CapEx. CapEx would have been approximately 85 million, but approximately seven million shifted from the end of 2022 to the beginning of 2023 due to timing of year end construction payments. We did not repurchase any additional shares in the quarter, which leaves our availability under our currently authorized share repurchase program at approximately 22.1 million. Looking to the first quarter of 2023 as Greg said, we are encouraged by recent sales trends and we expect Q1 comparable restaurant sales in the high-single-digits. Factoring in our current sales and cost trends, I expect restaurant level cash flow margins to be in the 12% area in Q1 and expanding through the year as we grow sales through strategic initiatives, make additional progress on our margin improvement initiative and take additional menu pricing. As Greg noted, we are targeting restaurant level margins in the low to mid-teens on a run rate basis as we exit the year. We are expecting food cost inflation in the mid single-digit area in 2023. For 2023, we are targeting G&A in the 80 million to 82 million area taking into account investments in strategic growth areas such as off-premise and catering as well as a step up back to more regular bonus payout and deferred compensation plan return levels. Our CapEx spend is planned in the 90 million to 95 million range including the approximately seven million of construction payments that shifted from late 2022 to early 2023. In 2023, our capital allocation priority will continue to focus on investments with attractive returns, including a mix of new restaurant growth, restaurant remodels and other sales building and margin enhancing initiatives. This year, we plan to open five new restaurants with the first scheduled to open later this month and the second in early April and to expand our high return on investment remodel initiative to more than 30 restaurants or approximately 15% of our restaurant base. Additionally, as part of our margin enhancing initiative, we plan to strengthen and optimize our restaurant portfolio by closing three legacy of restaurant this year, one of which will be relocated to a great new site in the same trade area, which is included in the five new restaurants. In summary, we know the best way to grow margins and profit is to grow sales. Recent sales trends have been encouraging and we remain committed being sales drivers first and foremost. We intend to continue building sales into 2023 with demand for experience of dining remaining strong, especially at BJ’s. At the same time, we have elevated productivity and cost savings through our margin improvement initiative with momentum continuing to build. We have a clear path to sales and margin growth and our long-term strategy remains intact. Thank you for your time today and we will now open the call to your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Alex Slagle with Jefferies. Please proceed.
Alexander Slagle: Thanks. Hey, guys. On the commentary on the restaurant level margin expectations, it sounds like the cadence is sort of a gradual ramp. Is that sort of given the timing of the initiatives or might there be maybe the seasonally strong 2Q maybe that one you could get to the lower mid-teens margin levels? Trying to dig into that a little bit more.
Greg Levin: Yes. Alex, this is Greg, and then I will pass over to Tom. He has got other additional commentary. That is generally how we are thinking about the cadence in the sense that, as our margin initiatives work their way through. I do think to your point, Q2 is our strongest weekly sales average. And I think based on where we are today and knowing how those sales can grow, we tend to see that number go up. And then to your point, it would go down into Q3 and then accelerate into Q4 and kind of get us onto that trajectory of where we are going. The other thing just when we think about it as well, much like you saw in the news yesterday with Producer Price Index, and so forth on inflation. We tend to have a certain amount of contracts that get reset on January 1st. So in this first quarter, we have some of those resetting contracts, while our menu pricing of 3.7% will help offset that as well as some of our other initiatives. Our next round of pricing somewhere in that April, May timeframe is really meant to kind of take care of some of this additional pricing or some of that additional inflationary pressure that we are experiencing right now. So that generally, the ramp up that we see. And I don’t know, Tom, if you have anything to add to that?
Thomas Houdek: Yes, I would agree. It is the combination of pricing that we have taken some in January, we will take more later in the year, and the margin improvement initiatives that continue to build. So those that that is how the margin increasing as the year progresses.
Alexander Slagle: Maybe you could comment on the contract resetting and sort of where you are. Um, how much is contracted for the year at this point?
Thomas Houdek: Sure. So, in January, we have the majority of our contracts come due. So we are about 35% to 40% fixed, which is a little less than we have been in the past. There is some contracts we are staying floating on this year because just the extra premium to lock in contracts for the full-year. We saw it more advantageous for our cost structure to keep them floating, take the lower costs now, and not expecting them to go up as high as some of the fixed costs. So, that was the extent of our contract resets that that happened in January. But as is Greg mentioned, wings for example, that is an area where the market is good right now and prices are still low. So we kept that contract bloating to get the benefit of the current market as well as where we think the market should go for the balance of the year. So yes, as we look into the Q1 and gave the forecast it margins for Q1, it takes into account the extra cost that we saw come in January. But as we think about pricing what we took in January, what we take again in Q2, that should offset that inflation plus extra to you gets some extra going through the margins.
Alexander Slagle: Great. And wanted to follow-up on the capital allocation commentary. If you could provide a little more color on the remodel ROIs and maybe how many of each type of opportunity you see for 2023, whether it is the bar area or the seating any color there would be helpful.
Greg Levin: Alex, it is Greg. So as you mentioned in the call, we are trying to get a minimum of 30 dine next year, and I would say it is probably right now evenly split or so between the bar and then what we would call kind of expand capacity around the due seating. Some of those will overlap or we can do both in those restaurants. And what we have seen out of, without getting in super specific I guess is the bar is a higher cost than the bar taps to the back handle. We put in 130 inch TV and really lighten up the restaurant and that cost can be anywhere from 500,000 to 700,000. However, the returns from a sales standpoint on those restaurants have been significantly higher than the return on sales. Meaning the amount of sales that we are getting on just adding the three additional boots, while the three additional both will cost only about 150,000. So it is a lot less of a cost, maybe 150 to 200 depending on what else we do on there. The amount of incremental sales there while successful and high in the sense that gets us a good return on investment doesn’t drive the same type of return that redoing the bar does. That really, I think, kind of accentuates the energy within our restaurant. So, that is where we are today. We are looking at those returns somewhere where we would like to be maybe in the 20 plus percent range for the cost of that investment.
Alexander Slagle: That is great. Interesting. Thanks.
Greg Levin: You are welcome.
Operator: Our next question is from Brian Bitner with Oppenheimer and Company. Please proceed.
Michael Tamas: Hi. Thanks. This is Mike Tamas on for Brian. Two quick questions, the first one on pricing. Can you talk about maybe what you are planning on having for the full-year 2023 inclusive of the future price increase you were talking about in April and are you planning any additional price increases beyond April and just generally, how are you thinking about pricing against the more shaky consumer backdrop now? Thanks.
Thomas Houdek: Sure. Thanks Mike. So yes, we are, you know, like we said, we took 3.7% in January. The April round is we are targeting somewhere in the 2% plus area and we will have another opportunity potentially in the September timeframe for more pricing. So adding that up, we could be in the, you know, 8% plus area for the year.
Michael Tamas: Okay, thanks. And then, you know, just a commentary on the low to mid-teens margins exiting 2023. I just want to clarify, I mean, does that mean that for full-year 2024 you will definitely be in that range, assuming, you know, sales and everything sort of shakes out to where you think it is going to be or is there anything that we need to think about that, that is different about that run rate exiting 2023 into 2024? Thanks.
Greg Levin: Mike. That is our goal. Our goal would be exactly as you laid it out there, and that is as we move our margins up through the year, through the margin improvement initiatives, one thing that, you know, we didn’t mention, you know, and Alex asked the question about how it plays out to the cadence, and that is starting in July, we will have that. That reduced menu, and continue to play with another set of the menu as well. That will really help on the prep hours and the efficiency as well as we talk about the labor forecasting from the, from our AI artificial intelligence systems that we are working with. So as we work through those and get ourselves in that right into that run rate as we go into 2024, we would expect our margins to be in that mid teen range, and move from there. And obviously it is going to be seasonally adjusted. Q2 would be higher, you know, Q3 would be a little bit lower. But overall we would see 2024 in the area where our margins are in the mid-teens.
Michael Tamas: Okay, that is perfect. Thanks. If I can just squeeze in a quick modeling one on the remodels, is there anything we need to be thinking about in terms of downtime, in terms of impact on either overall sales or comps and margins just as it relates to some of those remodels? Thanks.
Greg Levin: No. Greg Lynds is in here, our Chief Development Officer who is really, his team is handling the remodels and they have perfected it where they can get in there and do them at nighttime. So our restaurants stay open, so we shouldn’t be losing any restaurant days or restaurant weeks. And there is really no training or any other changes from that perspective. What we have tended to see is, you know, that pop might take a couple weeks just because guests have to, you know, see it and then build from there a little bit. But we definitely like the pops that we are seeing and when you get to the weekend and you get to Valentine’s Day, having that extra capacity really helps us.
Michael Tamas: Perfect. Thanks so much. Thank you.
Greg Levin: Thank you.
Operator: Our next question is from Drew North with Baird. Please proceed.
Drew North: Thanks for taking the question. I was wondering if you would be willing to share an update on how the comps specifically we are tracking quarter to-date, appreciate the color on extrapolating the trend through the balance of the quarter. But just wondering if you could help quantify the quarter to-date metric just to level set us here?
Greg Levin: Sure. It is an interesting question and without getting very specific, the first two weeks of January were really strong sales. They were north of 20% as you went over Omicron. And since that time, it is kind of leveled out where we felt comfortable with kind of mid single-digits, which tend to - high-single-digits, I’m sorry, which would tended to be kind of where we expect the next weeks and the other weeks to be. So I think we saw first couple of weeks of January with some pretty strong sales and we kind of level set it into where we are today, maybe a tad higher per say.
Drew North: Okay. That is helpful and understood. One follow-up on the margin, specifically related to the commodity inflation outlook. Mid single-digits I believe you mentioned. I was hoping you could share some perspective on the cadence of that inflation through the year, based on your existing contracts and what you may be cycling?
Thomas Houdek: Sure. There was a step up as we mentioned in Q1, when the fixed price contracts most reset. We do have a little more loaded in the back half for beef and steak items. There is forecasts out saying, given herd sizes that, we could see some higher price is in beef later in the year, so that is loaded in the forecast as well. But otherwise, I think this first reset was the new pricing and there is going to be some markets somewhat up or somewhat flat. But those are the - I think beef was the only one worth highlighting beyond that.
Drew North: Thank you, I will pass it on.
Greg Levin: Thanks Drew.
Operator: Our next question is from Sharon Zackfia with William Blair. Please proceed.
Sharon Zackfia: Hi. Good afternoon. It was really good to hear about how the new units are performing, and I understand the capital allocation strategy for this year. But as you think beyond kind of 2023, how are you, I guess, by the thought process between further remodels and accelerating growth because it seems like the ROI on new units would be pretty healthy given the productivity that you outlined in the press release or maybe just juxtapose that with what you are seeing with construction costs and if that is been a major factor in kind of the thought process this year?
Greg Levin: Yes, Sharon, great question and sorry to jump in that. We are excited to get one open in your next to woods here shortly in the Chicago area. That is kind of our kind of our next field time.
Sharon Zackfia: I will single handedly boost your incidence rate of alcohol.
Greg Levin: That if you get some [Fazookes] (Ph), we will be really happy. But you kind of hit a pond at the end there and that is, the cost to build new restaurants has moved higher than we anticipated coming out of COVID. As we were building restaurants last year, they were kind of in the mid-6s to maybe upper-6s. As we went out and got this year, those bids started come in with the $7 million handle there or starting with the seven handle. And I can let Greg Lynds jump in here for a second. But Tim and his team have gone out and rebid that and we are trying to bring those costs down. And while our sell to investment ratio is actually pretty good at one to one, because our new restaurants have opened up really well and we are really pleased with them. We kind of felt that, the investment cost for our new restaurant versus having these high ROI remodels this year made more sense to pivot. And knowing that even as we go in next year, we are still going to have restaurants that we want to spend time on remodeling because we can only get 30 dine next year. I think it is going to be a little bit less as well. But taking all that aside, the ultimate cadence back in our business and is to get our new restaurant growth back into 5% plus increase in weeks. So while we are at five new restaurants this year, where we sit here today, we would like to increase that next year and increase that thereafter and get ourselves closer again to five plus percent. I think if we do that, we drive cost sales in the kind of three to 5% range. We start to look at 8% to 10% revenue growth and then leveraging and building margins allows us to grow earnings at above 10% that I think at that time we will be throwing off some decent free cash flow as well, allows us to start to think about how we want to prioritize our excess cash for our shareholders. So that is the longer term cadence in our business. Even though right now we are doing a little bit of a pivot towards remodels because of that high investment cost and Greg if you want to add anything, hit it.
Thomas Houdek: No, I will just kind of add to what you said that with our current initiatives going on, we think, in 2024, we can get our total cost and that is our all in cost. So that is construction, FF&E, soft costs site work, everything back to that, six million, our target is net six million range, which still gives us great ROIs in that 20 to 30% range depending on landlord contributions and that kind of thing.
Sharon Zackfia: And then just two quick clarifying questions. The mid single-digit commodity inflation for this year, was that a gross or net of anticipated kind of cost savings that you identify? And then did you give traffic for the fourth quarter or can we get that?
Greg Levin: I will do the traffic one cause that is as simple. So for the fourth quarter we ended up with six, six comps and our traffic was around 2.5 or so, and the rest was the average check going up. And just to jump into the average check a little bit, we have mid five pricing, I think below the industry, our checks a little bit lower and that is really due to the fact that we have seen an outside growth in lunch in the fourth quarter and the late night business. So those areas have tend to have a little bit lower overall average check, and that is why our average checks more in the 4% range versus our 5% pricing. And then again, as our traffic was positive in the 2.5 plus percent range, - Tom hit on the commodities.
Thomas Houdek: And then on the commodity and inflation question, the mid-single-digits was a net number there is possible for upside, just depends on what else we are able to achieve in the margin improvement initiative. But right now, the mid single-digit was met but again, we are still evaluating a number of other attractive opportunities to save there. So it there could be some upside on top of that.
Sharon Zackfia: Thank you.
Thomas Houdek: Thank you.
Operator: Our next question is from Todd Brooks with the Benchmark Company. Please proceed.
Todd Brooks: Hey good evening everyone, this is Todd here. A couple questions. There is one variable and, and Greg you hinted at in your comments, but in talking about the recovery and the restaurant level margin and an exit rate for the year and the load mid teens, what is the assumption of sales as far as you talk about that as being your best driver of margin recovery and I know we have got the margin improvement program. I know we have got some pricing coming in, but what is the assumption for what you need for same store sales growth as a component of reaching that target or are you not expecting much on that front beyond Q1 and any increment there would be put you higher into that targeted range?
Greg Levin: Yes, it is a good question, Todd. And I think when we look at our business and think about the fact that we are looking somewhere in the seven to 8% menu pricing, so thinking about from the seven to 8% menu pricing, I think, we are thinking, you know, comp sales or revenue growth in the kind of maybe mid-single-digits or so, hopefully a little bit better. But we feel that there is opportunities that we can drive that margin by looking at our cost improvement initiatives to help manage that down. So I think we have got to get that, that, you know, that pricing to come through, in our business to kind of continue to move ourselves in the direction of those margins.
Todd Brooks: Okay, great. And then just a quick follow-up and I will hop back in the queue as well. Is there a way with the early experience with the remodels and what you are seeing for lifts out of, if you blended out the bar program and the incremental free booth program, what type of structural same store sales do you see as we get into the program. So as we do the first 30, there should be a lift that has a meaningful piece of the overall chain from, from these efforts. How do we start to think about maybe a structural same store sales tailwind from this program?
Greg Levin: You know, I think the, well a couple things are one, we are definitely seeing a lift and we talked about the bar programs giving us sales, you know, somewhere in the 2000 a week level, I’m sorry, the coupon expand capacity is what we have mentioned. We are still working through the bar. The bar we have done, I want to say three restaurants right now. Two are performing really well. One was just going to say, one was just completed last week, so we are watching that one. And it tends to be a sales number above that. We will come back to the investors or the investment community after the first quarter. And we kind of finished up with more of the expand capacity, which is the additional booth and then have more of the bar in front of us and come back and give you kind of where we think they blend out and what type of lift we are seeing. Right now, as I said, we are targeting at 20% return on that cash. So, you know, we could be spending 200,000 on the additional booths and then we could be spending 500,000 to 700,000 on bar and other areas just depending. So you can kind of back into that a little bit, but we want to see where it kind of plays out the rest of this quarter.
Todd Brooks: Okay, perfect. Thanks Greg.
Operator: Our next question is from Teddy Farley with Citi. Please proceed.
Teddy Farley: Hi. Thanks. Two quick ones from me. First, would you be able to call out any differences maybe you are seeing in, same store sales, in tech heavy areas maybe versus the rest of the system, anything along those lines?
Greg Levin: Yes, so in regards to like looking at the first quarter, and this is not unexpected, I think because of what we have seen over the last couple years. The Bay area right now is outperforming in regards to comp sales. And it is a pretty strong contributor right now, actually all of California’s doing well, but the Bay area is definitely coming back and we are seeing some nice comp sales up in that area. I think across the board, we are seeing good comp sales in many areas, but we have talked at many times about the Bay Area and Northern California being a little bit more of a drag in our business short term. And right now it has turned a little bit and given us a little bit of a tailwind.
Teddy Farley: Awesome, thanks. And then just one last one for me. Good to hear that you are able to get some staffing resolved. Can you talk to how much you are seeing for that as being macro driven versus maybe what you are doing in the restaurant to help to bring people in applications or retaining existing stuff? Thanks.
Greg Levin: Yes. Teddy, I think it is a combination of both. We are hearing across the industry that, finding people is easier today than it was a year ago. And definitely, we see that. We place an emphasis within BJ’s to make sure we are taking the time to do the things to onboard our people correctly, to make them part of the culture and part of the BJ’s family to grow our business. And that seems to have really helped us from that standpoint and something that we continue to do. One of the things that will also help us going forward and we don’t talk about it as much from a recruiting standpoint is, as we continue to work through some of our margin improvement initiatives, especially around the smaller menu. That helps to bring people on board into an already complex business, where we have 145 plus menu items, learning our menu is going to be more challenging than getting a menu or getting a position in South Casual or QSR or other casual dining restaurants. So doing some of those things as well as some of the other initiatives that we have done in regards to our value statement and other things that we rolled out this last year. I think it is help to bringing more people on board for us and continuing to improve our staffing at our restaurants. And it is a real emphasis for us and I got to give them my hats off to our General Managers. I have spent a lot of time rebuilding our restaurants and doing a great job. We get people in there, so that we can deliver gold standard level of operational excellence and that we can deliver greater hospitality to our consumers that come in and visit us for our guests.
Teddy Farley: Excellent. Thank you.
Greg Levin: You are welcome.
Operator: Our next question is from Nick Setyan with Wedbush Securities. Please proceed.
Unidentified Analyst: Hi. This is actually [Michael] (Ph) on for Nick. Just two quick ones from me. Did you provide what wage inflation was in Q4? And then just the opening cadence for next year, it sounds as though you have got one in the first quarter, one in the second. Do you have any ideas for the timing of the relocation, is that going to be Q3, Q4?
Greg Levin: So on the opening, the relocation will tend to be Q3. So we are looking at kind of one is here in Q1, one in Q2. And then we start to finish off the year hopefully with the remaining three. We like it to maintain in Q3, but probably will end up with one to two in Q3 and then one to two or however it falls out in Q4.
Thomas Houdek: And let me answer the question for wage growth inflation in Q4, on the hourly front, we saw about a 7% year-over-year increase in the wages.
Unidentified Analyst: Great. Thanks very much.
Greg Levin: You are welcome.
Operator: And our final question is from Andrew Wolf with C. L. King. Please proceed.
Andrew Wolf: Well thanks. Good afternoon. I might have missed this. I don’t know, if you have mentioned or could quantify what the impact might have been from the terrible monsoon like rains that occurred in California during the quarter.
Greg Levin: Andrew, we did not quantify it. It definitely was a headwind going over COVID from a year-ago, or Omicron from a year-ago. And those rains were the kind of the last of December and the first couple weeks of January that all that was coming through. It got masked a little bit because of just the challenge a year-ago from Omicron that really I think hit our industry and a lot of other industries strongly I guess, or impactfully. We did mention because there was somebody else that asked the question about how the year started. I think it was Drew over at Baird. We kind of said the first couple weeks, January hard com sales were north of 20% per saying that kind of double digit. So we started the year really strong. They probably would have been even higher if we didn’t have the reins in California.
Andrew Wolf: Okay and that is a good color, I appreciate that. And now you are saying high-single-digit is sort of the current trend and is that against a normal - is there any Omicron benefit in that. This is really the straight question or is that against a non Omicron compare?
Greg Levin: Not really. I think, as we have seen from, from other companies as well as you look at Black Box and other data, it is definitely comes, it is kind of like a ski slope maybe a black diamond ski slope or double black diamond in the, since that the first couple weeks of January were really impactful. And then you kind of move through January, things started to normalize and companies built their sales. We did as well from, from a year-ago as we tend to look at ourselves here in the February conference, it is much more of a normalized operations. It was again, at this time last year about staffing up and to drive dining room sales and that is where we think we are today. But that date impact Omicron was kind of the end of December into the first few weeks of January.
Andrew Wolf: Got you. And the other question I wanted to ask was, I think you have plan, well you said you are planning a 10% menu item reduction and you kind of obviously mentioned it’ll help the P&L, but could you maybe give a little more color. I’m sure the operating cost, it simplifies that as I was sort of thinking about it, these must be items that I sell them so good. So you might save some shrink and procurement might get better. So just a sort of a sense of how that helps at the restaurant level and also, the flip side, how do you think about and plan for potential loss sales and sort of work that work that all out?
Greg Levin: Yes. Andrew, first of all, that is a great question, very insightful question. And that is it is much easier to grow sales when you are adding items versus growing sales when you take items away. And so we have been testing this smaller menu for a while, right now, trying a couple things with different placement, trying to see how we lose between if we are losing anything on add-ons or if we are losing it in the entree side or how we can mix guests from one item to the next. And based on our testing to-date, it looks like we are able to pretty close hold on to our current average check and our trends based on what we are removing from our restaurants. And then we continue to look at them exactly as you said. What are the high sellers? What is their reach and their frequency to the consumer? Because something that might have low frequency seems like perfect to take out, but if it is got broad reach two consumers, do you end up losing those consumers. So as much as we would love to say this out tomorrow, the way we manage against it is we test it. And then on this test we have done a couple different iterations where we have moved different items and different places on the menu so that when we come into the July timeframe and roll it out, we will feel comfortable what it does to top line sales and feel comfortable what it does to the restaurant operations. And the restaurant operations is twofold. One is it will help with prep because you won’t have as many items as much as we talk about menu items that we are removing. It is really about the prep hours and reducing more skews around prep than actual items for the cons guests. And that is one area that we go after and we look at it. And then the other side of it is the ability to cook something or just the memorization and repetition from less items will make our current products that much better. So we would rather, serve a little bit less items but make sure every single item is perfect, is really the goal there. The other thing I do want to bring up is, as much as we work this down, BJ’s is for having a broad menu. We are not looking over time to get down to 60 items or 70 items. A competitive advantage and a differentiator for BJ is to have a broader menu than traditional mass casual concepts. So we will always continue to have that as we continue to go forward and we will continue to kind of prune where it is appropriate and make sure what we are putting on matches the Brewhouse fit for the BJ concept.
Andrew Wolf: Okay. Thank you.
Greg Levin: You are welcome.
Operator: And that was our final question, so we can conclude today’s conference. Thank you everybody for your participation and have a wonderful evening.
Greg Levin: Thank you.